Operator: Ladies and gentlemen, thank you for standing by. Welcome to the McGrath RentCorp Second Quarter 2023 Earnings Call. At this time, all conference participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Conference call is being recorded today, Thursday, July 27, 2023. Before we begin, note that the matters the company management will be discussing today that are not statements of historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding our full year 2023 financial outlook, as well as statements relating to the company’s expectations, strategies, prospects, or targets. These forward-looking statements are not guarantees of future performance and involve significant risks and uncertainties that could cause our actual results to differ materially from those projected. Important factors that could cause actual results to differ materially from the company’s expectations are disclosed under Risk Factors in the company’s Form 10-K and other SEC filings. Forward-looking statements are made only as of the date hereof, except as otherwise required by law. We assume no obligation to update any forward-looking statements. In addition to the press release issued today, the company also filed with the SEC the earnings release on Form 8-K and its Form 10-Q for the quarter ended June 30, 2023. Speaking today will be Joe Hanna, Chief Executive Officer; and Keith Pratt, Chief Financial Officer. I will now turn the call over to Mr. Hanna. Please go ahead, sir.
Joe Hanna: Thank you, Mike. Good afternoon, everyone. Thank you for joining us on our call today. I am very pleased to report impressive results for our second quarter. For the period, our rental revenues increased 24%, sales revenues increased 33%, and EBITDA increased 33%. This performance is the result of our diligent efforts to transform the company into a more streamlined and focused business. I can say that these efforts are paying off as we delivered another consecutive quarter of strong results for our shareholders. Reflecting another strong quarter and confidence in our business, we are increasing our outlook and currently expect 2023 revenues and adjusted EBITDA to be in the range of $805 million to $830 million and $306 million to $320 million, respectively. We have been very busy implementing our strategy. As a reminder, on February 1 of this year, we completed the divestiture of Adler and acquisition of Vesta Modular. The strategic shift in our business mix can be seen in our second quarter results as our modular business accounted for 81% of McGrath’s total revenues and 72% of total adjusted EBITDA. After the Adler sale is completed, we provided customary transition support to the new owner, and those support activities can be completed by the end of July. Our teams have taken on extra work to handle those tasks while they run the normal business operations and also integrate Vesta. I am very grateful for their hard work and selfless effort. Our integration of Vesta is progressing as planned. We have been reviewing in detail new opportunities to function more efficiently together. Our commitment to deliver $8 million EBITDA in synergies as a result of our investment in this acquisition is realistic, and we are focused on making that happen. Strategically, the acquisition of Vesta is a terrific addition to McGrath as it brings more opportunities, resources, and geographic coverage for us as a significantly larger modular building solutions provider. I’m happy to report that we are already seeing examples of how these combined businesses operate even more effectively together. For example, in our combined custom modular solutions group, we are sharing resources and expertise across the country to bring more projects to fruition, and we are very excited at the opportunities in front of us. As the weeks go by and we get to know each other better, I continue to be impressed by the capabilities and contributions from our new Vesta team members. Turning to Mobile Modular. In total, our core business engine fired on all cylinders during the second quarter. Despite some macroeconomic uncertainty both our commercial and education rental quote activity was healthy and year-to-date units quoted were up before the Vesta business addition. It has been a full two years since our May 2021 Design Space acquisition. Our investment in Design Space enabled further rental revenue growth, and we are taking advantage of the additional geographic coverage that the business provides for us. As an example, our rental revenues grew in the second quarter by over 20% in the Pacific Northwest, where Mobile Modular had no presence prior to that acquisition. Just as important, we have applied learnings from the Design Space acquisition to our Vesta acquisition. Our integration process is improved and better organized, therefore increasing the level of success we are expecting from Vesta. Taking a few minutes to focus on our Portable Storage business. Our team achieved strong performance delivering a rental revenue increase of 23%. Quoting levels continue to be healthy, and pricing continues to show gains year-over-year. We have many opportunities to grow this business both organically and with Portable Storage tuck-in acquisitions. In addition, the Modular acquisitions also opened up new opportunities to rent containers from the same locations. We are executing on all of these. We closed two tuck-ins in the first quarter, Brekke and Dixie, and another Inland Storage just after the end of the second quarter. To provide some additional color on what tuck-ins can do for us, we had no business in Colorado six months ago, and with the earlier two tuck-in acquisitions we completed there, we now have a fleet of over 3,000 units, a branch to operate from and a customer list to build. This is a wonderful way to jumpstart our business. Our pipeline of opportunities for tuck-ins is robust, and we have many possibilities in new geographies to plant the flag and begin to grow. The Portable Storage team has been executing well, and I have high confidence that we will continue to see strong growth from them over the next several years. Turning to our TRS-RenTelco business. Softness in the computer and semiconductor business continued into the second quarter with rental revenues declining by 4%. The other market verticals were flat to last year. The slowness we are seeing in the semiconductor accounts is broad-based and not concentrated in any single account. This industry is recovering from some of the severe demand fluctuations resulting from the pandemic. Currently, it appears that many customers are conserving cash and projects that have been planned are taking longer to get moved from plans to reality. We believe that the second half of the year should result in more project opportunities closing as there are many in the queue. We have seen and successfully managed through cycles like this before. Our TRS team has been taking several important steps to improve our results. We have been selling equipment to right-size the fleet and improve utilization. In addition, we have reduced new equipment purchases and will continue as needed to ensure demand and our inventory availability are matched appropriately. Our efforts have resulted in a small fleet size reduction quarter-over-quarter, and we will work to make further progress for the remainder of the year. As I have shared before, the level of competence in our management team at TRS is very high, and they’re focused on ensuring the business operates optimally. As we enter the back half of 2023, I could not be more pleased with the opportunities we have to continue our robust growth. We are in a multi-year effort to focus our business on modular opportunities and have a lot of runway to continue to grow EBITDA for the next few years. The acquisitions we closed are performing well and provide not only new geographies within which to expand, but also to improve the density in areas we already operate. It has been encouraging for us to see that there has been very little overlap for rental opportunities between the Mobile Modular and Vesta sales teams. That means we are serving different customers. This should result in continued growth opportunities as we deploy our extensive systems, logistics and inventory center capabilities for both sets of customers. I shared in our first quarter call that we have a notable difference in the prices we are shipping for new rental opportunities compared to average pricing levels for our overall current fleet of units on rent. This dynamic remains in place as we continue to deploy equipment for new rental orders, and this is a tailwind that the business should benefit from for the foreseeable future. We are continuing to see results from our Mobile Modular Plus and site-related services opportunities as the sales teams gain traction and we become more proficient and experienced at providing these services to our customers. Year-to-date, we have realized over $20 million in revenues from the combination of both of these initiatives and the trajectory is up and to the right. Vesta did very little of this type of business, so the addition of their fleet and sales resources should accelerate our path over time. We are very well positioned to deliver a meaningful revenue stream from both of these two initiatives. Our third initiative Custom Modular Solutions is also growing well. This is an area where we knew Vesta also had capable and experienced resources, so we saw that the combination of Mobile Modular and Vesta would put us in an even stronger position to provide customers with larger custom rental and sales projects across the country. The strategic value of Custom Modular Solutions is that there is clearly a secular shift in the acceptance of modular buildings as a viable and cost effective solution for space in myriad applications. Our pipeline of opportunities is substantial. We are very pleased with how many customers are considering modular buildings as a first choice for their projects. As we successfully manage the company’s strategic growth, we must also deploy capital effectively. We have many places to invest and are doing it smartly and in areas that are offering solid returns and long-term potential. For example, looking at our two largest recent acquisitions Design Space and Vesta, they’re both bringing opportunities to deploy capital in new fleet and the growth rates we are seeing are healthy, but that is just one example. With overall utilization just shy of the 80% level, we also have legacy locations that need equipment. This continues to be encouraging, especially as we improve pricing, increase utilization, and deploy new fleet. As I have shared several times on prior calls, positive progress in all three operating metrics is an indicator of a very healthy business and a responsible way to manage our opportunities, inventory and capital deployment. I call it our trifecta, and we are there right now. Before I turn the call over to Keith, I cannot hide my level of enthusiasm in today’s call, not only due to our results for the second quarter and year to date, but also because we have significant opportunities to continue to deliver EBITDA growth over the next several years. Our strategy to focus and streamline the business and to take advantage of our modular growth opportunities is working. When we can navigate a year like 2023, which is full of macroeconomic and geopolitical uncertainty, while increasing our full year financial outlook for the second time this year, it is a message I am proud to deliver. I would like to thank our leadership and entire employee team across all our businesses and corporate groups, as everyone has been doing an exemplary job for our customers with and for each other and for our shareholders. We are executing successfully is the new McGrath, and we are very well positioned to deliver solid financial results for the remainder of 2023. So now I’ll turn the call over to Keith, who will expand on my overall comments with greater financial detail.
Keith Pratt: Thank you, Joe, and good afternoon, everyone. As Joe highlighted, we delivered strong results in the second quarter, driven by the performance in our Mobile Modular segment. My comments today will be focused on results from continuing operations, which excludes the impact from the Adler gain on sale and income from the discontinued Adler operations. Looking at the overall corporate results for the second quarter, total revenues increased 32% to $203 million, and adjusted EBITDA increased 34% to $77 million. Before the contributions from Vesta, McGrath had 13% total revenue growth and 15% higher adjusted EBITDA. Turning now to review Mobile Modular’s operating performance as compared to the second quarter of 2022. Mobile Modular had an impressive quarter with adjusted EBITDA increasing 59% to $56.8 million. Total revenues increased $52.9 million or 47% to $164.3 million. There were increases across all revenue streams, including 37% higher rental revenues, 56% higher rental related services revenues, and 59% higher sales revenues. Vesta contributed $29.7 million total revenue and $10.4 million adjusted EBITDA to the current quarter results. Before these contributions from Vesta, Mobile Modular had an impressive 21% total revenue growth and 30% higher adjusted EBITDA. In addition to the contribution from the Vesta acquisition, our rental operations experienced strong organic growth across our commercial, education and portable storage customer bases. Sales revenues increased 59% or $14.5 million to $39.4 million, demonstrating good progress with our initiative to grow modular sales projects. Vesta contributed $11.2 million of the total increase in sales revenues. We continued our disciplined fleet management and achieved average fleet utilization of 79.1% up from 78.1% a year ago. This utilization achievement was accomplished while also growing our fleet and increasing average rental rates. With our strategic investment focus on modulars, further supported by our recent acquisitions, the average fleet size for the quarter increased by $302 million or 30%, and average equipment on rent increased by $250 million or 31% as we successfully improved utilization. The average monthly rental rate for the portfolio was 2.84%, which was 4% higher than a year ago, and reflects our focus on pricing optimization as well as continued healthy market conditions. Rental revenues increased by 37% while inventory center costs increased 4% and depreciation expense increased 33%, resulting in rental margins of 60% up from 51% a year ago. Turning to review of TRS-RenTelco, adjusted EBITDA was $21.5 million, a decrease of 3% compared to last year. Total revenues increased $0.5 million or 1% to $37.8 million. We saw an increase in sales revenues partly offset by a softening in rental operations revenues. Rental revenues for the quarter decreased 4%. We experienced continued softness in semiconductor-related demand resulting in lower general purpose rentals during the quarter, while communications rentals were flat compared to a year ago. The average monthly rental rate was 4.16%, up 3% compared to a year ago, which reflects a shift in mix and stable pricing conditions for both communications and general purpose equipment. Average utilization for the quarter was 58.2%, compared to 64.5% a year ago, and rental margins were 38% compared to 40% a year ago. The decline in average utilization during the quarter reflects the softer demand from the semiconductor market, as well as extended supply lead times for new equipment. Sales revenues increased 17% year-over-year to $7.5 million with gross profit increasing 12% to $4.1 million. The increase in sales revenues demonstrates our focus on reducing inventory to better align with current market demand. The remainder of my comments will be on a total company basis from continuing operations. Second quarter selling and administrative expenses increased $13.2 million to $47 million. The addition of Vesta Modular increased selling and administrative expenses by $6.6 million, which included $1.2 million amortization of intangibles. Interest expense was $9.9 million, an increase of $6.9 million as the result of higher average interest rates and $239 million higher average debt levels during the quarter, which was primarily the result of funding of our acquisitions. The second quarter provision for income taxes was based on an effective tax rate of 25.7%, compared to 22.9% a year earlier. Turning to our year-to-date cash flow highlights. Net cash provided by operating activities was $71 million, compared to $82 million in the prior year with transaction expenses accounting for most of the reduction. Rental equipment purchases, excluding equipment received from recent acquisitions, were $128 million, compared to $95 million in the prior year. The total cash paid for acquisitions of Vesta, Brekke and Dixie was $456 million, emphasizing our strategic initiatives to grow the modular and portable storage businesses. In addition to significant investments in new fleet and acquisitions, healthy cash generation allowed us to pay $23 million in shareholder dividends. At quarter end, we had net borrowings of $673 million, comprised of 100 million notes outstanding and $573 million under our credit facility with capacity to borrow an additional $77 million under our lines of credit. The ratio of funded debt to the last 12 months, actual adjusted EBITDA was 2.18 to one. Turning next to our updated 2023 financial outlook. For the full year, we currently expect results from continuing operations to be total revenue between $805 million and $830 million. Adjusted EBITDA between $306 million and $320 million. Gross rental equipment, capital expenditures between $190 million and $200 million. Our updated outlook reflects a stronger revenue outlook for new modular sales projects. Our rental operations outlook is largely unchanged with an incrementally stronger outlook at Mobile Modular, largely offset by a somewhat softer outlook at TRS. We have also reduced our pace of rental equipment investment at TRS partly offset by ongoing modular investments leading to the overall slightly lower gross capital expenditure outlook. Before closing, I am going to take a bit more time to expand on the comments Joe made earlier with respect to McGrath’s longer-term growth opportunities centered on our modular segment. I would like to share a few data points that help illustrate our progress and point to the opportunities that lie ahead. This data is from our legacy modular business and excludes Vesta units, which have not yet been successfully and fully integrated into our reporting systems. All the data I will highlight will be included in our second quarter investor presentation, which is available on our investor relations website today. First, I will expand on Joe’s pricing comments. For our modular building and classroom fleet, during the second quarter, the monthly revenue for the average unit on rent increased year-over-year from $613 to $670, a 9% increase. For new shipments over the last 12 months, the average monthly revenue per unit was $995. A year earlier, this last 12-month average revenue was $867. So we see a positive trend with new unit pricing, which is up 15% on a full year-over-year basis. Keep in mind that a number of factors can impact monthly revenue per unit. Pricing changes over the last few years have been necessary to offset the higher capital costs for new rental equipment and the higher operating costs incurred to support customers and maintain our fleet. Also, pricing can vary significantly based on product type, region, contract term, and other factors. These pricing dynamics are significant positive long-term revenue drivers. As the rental fleet churns, we expect a rental revenue tailwind as the average rental unit pricing for all units on rent moves towards current market rates, which have in turn been moving higher. Our early progress with Mobile Modular Plus is embedded in these data points and is an additional growth opportunity for us. As Joe mentioned earlier, year-to-date, our Mobile Modular Plus and site-related services initiatives contributed over $20 million in revenue just for our legacy modular business, even before Vesta and portable storage. Mobile Modular Plus contributed $12.4 million year-to-date, up from $8.5 million a year earlier. Site-related services contributed $8.2 million year-to-date up from $4.9 million a year earlier. We are in the early innings with these initiatives and they are making positive growing contributions. We have also been making good progress with our sales of new modular equipment. Back in 2018, we achieved $18 million of new sales, while last year we achieved $50 million. With the addition of Vesta, we expect to see further growth this year and beyond. On top of all this, we have further opportunities to grow our rental fleets for modulars and portable storage. As we have demonstrated, we have opportunities to continue to increase our geographic presence in many markets through a disciplined combination of organic investment and strategically focused acquisitions. As Joe highlighted, with the significant transformation of our business well underway, we are excited about the near and long-term opportunities that lie ahead. We are very proud of McGrath’s strong second quarter performance. As we look ahead for the remainder of this year, we will be working hard to continue to integrate the acquired businesses, while staying focused on furthering our long-term modular growth strategies. That concludes our prepared remarks. Mike, you may now open the lines for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Thanks very much. Good afternoon. I’d like to start out with the guidance increase. Keith, I believe I heard you say that predominantly this strong new sales in the modular segment, but that – and rental overall is unchanged. However, it is stronger in Mobile Modular. It’s just being offset by TRS. So the demand environment sounds very good in rental and Mobile Modular, is that the takeaway there?
Keith Pratt: It is Scott, that’s exactly what we wanted to convey. Feel really good about the modular business. It is a tougher year for our electronics business. So we’re somewhat more conservative in the outlook. But that’s exactly what we see in the business. And the sales part of the modular business which is something we focused on, looks very healthy for the second half of this year.
Scott Schneeberger: Okay. And the same would be said for Mobile Modular or rental as well, it sounds like.
Keith Pratt: Correct. I mean, we’re overachieving in the second quarter at as Joe mentioned, very good demand conditions. We feel very good about that part of the business as well.
Scott Schneeberger: And how much of the guidance increased? I haven’t really dissected it that much. Is the outperformance in the second quarter versus any change to your outlook in the second half, and I guess by segment and rental or sales as part of the answer? Thanks.
Keith Pratt: Yes. It’s been of both. We had a very good second quarter. We did better than expected. As we get into the second half of the year, we feel very good as we go through July. As you know, Scott, anyone can look at our numbers. The second half of the year tends to be the bigger contribution to profitability. We’ll learn a lot even over the next few months about how quickly projects get completed and turn to revenue. But we feel very good about the prospects and the one area where we are being a little more cautious and it tempers the outlook a little bit, is it TRS that business there’s a lot less visibility. It moves much more quickly. We’re taking a cautious outlook. We could get surprised if things pick up better over the second half of the year. But at this point, that’s how we’re looking at it.
Scott Schneeberger: Fair enough, Keith, thanks. I want to delve in kind of similar thematic questions on CapEx because the utilization for rental and Mobile Modular is very high 79.1, pushing 80 is impressive. Are – and you mentioned that your overall CapEx guidance is tweaking down a little bit, and that’s on TRS and that’s understandable based on what you just said. But should we assume there’s a bit of a partial offset there on modular CapEx and are you running a little hot? Is this going to be a tail of CapEx? I know it’s a high class situation. But are you going to have to be really looking to increase CapEx, looking out into next year as well with the demand environment you’re seeing in Mobile Modular?
Keith Pratt: Yes, Scott. First of all, I think you’ve captured the essence of what’s happening. We’ve throttled back a little bit at TRS, given the demand situation. We’ve spent a little more at modulars, and we expect – today we expect to spend more for the full year at modulars than we did back in March or February. So again, it’s indicative that we feel very good about the business and the opportunities that we’re seeing. We can be flexible pretty much on adding capital where we need to, but we always remain disciplined. We do really try to maximize the fleet we have. And then we look hard at returns and look at regional opportunities before we add to the capital. The other thing I would point out is, and we mentioned this on the last call, we did somewhat frontload our CapEx for this year. That was deliberate. It positions us very well in the market to be able to capitalize on opportunities. So that leaves us well positioned. We feel good about where we are today. We have access to equipment that we’ve planned for, and we’re pursuing opportunities in the market to get it deployed and build the business.
Scott Schneeberger: Thanks. Could I ask what is driving Mobile Modular rental demand? And I’m curious on your commercial business as well as your education market? Thank you.
Joe Hanna: Yes, Scott. Actually the – on the commercial side of the business, the demand is pretty broad based. If you look across the country, I can give you some examples of the types of projects that we’re seeing. And it’s healthcare, admin space for healthcare, admin space for state and local government projects like a park and recreational facility for admin. Our government work is actually strong. Our plant work around the Houston area actually with our petrochem customers is actually pretty strong for this year too. So it’s just – it’s really all through our market verticals. We’re just seeing good demand. And now on the education side, nothing has changed there significantly. In areas that we’re seeing high population growth, like Florida, the Carolinas, Texas, demand for classrooms is strong. And that’s not only for growth projects, but also for modernization as school districts try to catch up and get their facilities up to speed. So we’re – we’ve been very pleased really on a broad-based perspective.
Scott Schneeberger: Thanks, Joe. Are you seeing some of these reshoring mega projects as well? I know you’re in specific geographies and not national yet with Mobile Modular, but are you seeing any very large projects in which you’re involved?
Joe Hanna: We are involved in some large projects. There’s a general upturn in the amount of industrial activity and where we have presence. We’re participating, no question.
Scott Schneeberger: Excellent. Thanks. Just one or two more if I could. Rental related services was strong in the quarter, a good bit stronger than we expected. Could you just speak about what’s flowing through there now? I think that would be a helpful update. Thank you.
Keith Pratt: Sure, Scott. The primary elements in that revenue stream are really delivery and pickup charges for units whether they’re Modular units or Portable Storage units, that’s the bulk. We are getting a little bit of additional growth from those site related services, which are other things that we do for customers tied to the rental opportunity. And as Joe mentioned and I expanded upon it’s not a massive amount of revenue for us today, but it is growing. So that’s the other factor in there. That is an additional boost.
Scott Schneeberger: Understood. So site related services are in there, Keith, Mobile Modular…
Keith Pratt: Correct.
Scott Schneeberger: Is that in there as well or is that in just the rental bucket?
Keith Pratt: Mobile Modular Plus, which are really things we’re doing for the customer tied to the rental of the unit that flows through the rental revenue stream.
Scott Schneeberger: Okay. But site related services is another.
Keith Pratt: Correct.
Scott Schneeberger: And just I’ll wrap up on that topic. Could you talk about, I’m guessing the margin profile on these early days of revenue growth and revenue establishment are not robust yet, but will be. Could you speak to – are they contributing nicely at this current time? And what do you anticipate over time as far as margin contribution from Mobile Modular Plus and site related services? Thank you.
Joe Hanna: Yes, I’ll just make a comment and Keith can add in here. We’ve been pleased with our margin profile and we’re continuing to work to improve that, but it has not been a sore point for us as we get started. So that’s been encouraging. Keith, do you have anything you want to add there?
Keith Pratt: Yes. I definitely put the emphasis on early innings here. We’re really in the early stages of understanding what resonates most with the customer base. How do we present that to them? How do we get a good win rate as we do that? The way to think about it, Scott is for quite a few of the items we offer, we’re doing it through our re-rent model. So we don’t own the asset, but somebody else does in many cases. Sometimes we own it, but again, many cases it’s a re-rent. And so the margin profile there is actually dilutive to our rental revenue margins. Our rental revenue margins on the buildings are typically in the upper 50%s to 60% range. That’s our target and we typically hit it. These other opportunities are not that strong at this point in time, but again, its early days. Really what we’re focused on is get traction with the customer, make sure we understand what it is they want, and how to get it in their hands. We will figure out how to make a good margin on it over time.
Scott Schneeberger: Great. Thanks, gentlemen. Congrats on the quarter and thanks for taking all my questions.
Joe Hanna: Thanks, Scott.
Keith Pratt: Thank you.
Operator: And our next question comes from Marc Riddick with Sidoti.
Marc Riddick: Hi, good afternoon.
Joe Hanna: Hi, Marc.
Keith Pratt: Hi, Marc.
Marc Riddick: So I really appreciated first of all the color you’ve already given. I really appreciated in your prepared remarks commentary around the tuck-in acquisition opportunities and what you did in Colorado. So why you talk a little bit about, first of all, the bigger picture pipeline valuations, maybe what you’re seeing there. And then maybe opportunities to do similar things to what you’re doing and what you’ve actually done in a relatively short period of time in Colorado.
Joe Hanna: Yes. I can expand on that a little bit. We – these tuck-ins are generally kind of a certain size. It could range anywhere from several million dollars to $15 million to $20 million. That’s kind of how we view a tuck-in. And typically, they’re local operators. They could be sole proprietorships or something like that, that are along in their point of evolution where the owner wants to monetize their investment and they put their company up for sale. And so the relationships that we develop with these folks over the years in preparation for that type of an event is exactly what we’re doing when we refer to our pipeline. We’re talking to these folks. We have relationships developed, and so when they’re ready to pull the trigger, we want to be right there with them. And in the case of Colorado, as I illustrated in my comments, it’s a great opportunity for us to start from zero and end up with a customer base. And we’re very picky about the types of equipment that we bring into the fleet. And we’re careful about that. And some of these operators have very well maintained and fleet that that’s in good shape. And so we’re very happy to bring that into the fold and start a greenfield operation with that. So I mean, that’s kind of a quick rundown on the tuck-in situation. Does that answer your question?
Marc Riddick: Yes. That’s very helpful. And then I was wondering if you could talk a little bit about given the opportunities that you see in front of you. I was wondering if you could talk a little bit about any hiring needs areas that you’d like to add to things that you’d like to sort of bulk up on that to take advantage of some of the opportunities that you keep playing that.
Joe Hanna: Well, in terms of hiring we’ve actually – across the country, in some areas it’s tougher to hire folks than others. I know we brought up before that drivers have been an issue and we don’t have as many drivers now, because we don’t have Adler where we had a pretty healthy fleet of trucks. And so our – the size of our employee base to the revenues that the company have right now, I think are in a good place. And we’ve been able to bring folks on when and as needed. Sometimes they’re more expensive than we may have planned for, but that’s just the current economic backdrop right now. But we’ve been able to hire positions and get folks into place as needed. It hasn’t been a real problem for us. So as we continue to expand the company, I think we’re in a good position to be able to hire and staff as needed.
Marc Riddick: Great. And I was wonder if you could talk a little bit about given the timing of the years, if you talk a little bit about the education market and what we’re looking at going into whether it was along the lines of your expectations or are there any things that we should be thinking about as far as education specifically going into a this full year.
Joe Hanna: Yes. The education part of the business has been as expected. Currently, we are in the throes of the summer, which is executing all the projects and getting classrooms shift and in place and ready for the school year. And it’s been a good year for us. And typically, you’ll see that in our results in the second half as we bring those new classroom shipments online. So as Keith said earlier, second half of the year, typically more revenue and profits for us in that second half of the year. And so we’re expecting that same dynamic again.
Marc Riddick: Excellent. And then I know this is maybe a little too early for this part or maybe not, I’m not sure, but I do know there’s sometimes a little retail that will kick in toward the latter parts of the year or things that are a little seasonal there. It may not be a large part of the business, but I’m sort of curious as to maybe if you had any thought there or if there’s anything that you’re seeing there early given the challenges that a lot of high profile retailers have had. But wondering if you had any thoughts there so far.
Joe Hanna: Sure. We do retail business. It’s not a huge needle mover for us. And we’re positioned to get some of that business as some of these folks bring extra storage online in preparation for the holidays. So we haven’t seen a whole lot of that at this point, but we suspect that that’ll pick up here in the second half of the year. But again, it’s a fairly small part of the business.
Marc Riddick: Excellent. And the last one for me, I was sort of thinking about maybe if we went back a year plus or so ago when certain parts of the business had to endure the supply chain challenges of the past. I wonder if you could sort of give a bit of an update, it’s just kind of where you are now with maybe some of the custom work and things like that. If there’s – what we should be thinking about as far as relative – directionally heading back toward normal or how we should be thinking about what’s going on there?
Joe Hanna: Yes. A few things there. Number one, margins improved in the second quarter. We are very happy to see that. Our inventory center cost rose just slightly for the quarter. And that was in part due to just some of less pressure from the inflationary pressures that we’ve seen in prior quarters. And so we are very encouraged to see that. As far as custom work that we do, we are very well positioned to be able to do that in our inventory centers. That’s typically work that we charge for and that we make good margins on. And so we’re happy to do that work when a customer wants a unit that is specifically tailored to their particular need. That’s something that we, we like to do and we’re going to continue to do that. I wouldn’t say we saw a lot of that in the second quarter, but it comes and goes as the projects do. So overall though, we were very pleased that we saw margins improve in the second quarter.
Marc Riddick: Excellent. Thank you very much.
Joe Hanna: Thanks, Marc.
Operator: Ladies and gentlemen, that appears to be the last question. Let me now turn the call back over to Mr. Hanna for any closing remarks.
Joe Hanna: I’d like to thank everyone for joining us on the call today and for your continuing interest in our company. We look forward to speaking with you again in late October to review our third quarter results.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you all for your participation. You may now disconnect.